Operator: Good day, and welcome to the GoHealth Third Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. There will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to John E. Shave, Vice President of Investor Relations. Please go ahead.
John E. Shave: Thank you, and good morning. Welcome to GoHealth's third quarter 2025 results call. Joining me today are Vijay Kumar Kotte, Chief Executive Officer, and Brendan Shanahan, Chief Financial Officer. Today's conference call contains forward-looking statements based on our current expectations. Numerous known and unknown risks and uncertainties may cause actual results to differ materially from those anticipated or projected in these statements. Many of the factors that will determine future results are beyond the company's ability to control or predict. You should not place undue reliance on any forward-looking statements, and the company undertakes no obligation to update or revise any of these statements, whether due to new information, future events, or otherwise. Earlier today, we issued a press release announcing our results for the third quarter of 2025. We have posted the release on the GoHealth website under the Investor Relations tab. In the press release, we have listed certain risk factors that you should consider in conjunction with our forward-looking statements. We encourage you to consider the risk factors described in our Form 10-Q and our Form 10-Ks filed with the Securities and Exchange Commission for additional information. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measures in our press release. You may also refer to the Investor Relations presentation on the Investor Relations section of our website for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during this earnings call. I will now turn the call over to GoHealth's CEO, Vijay Kumar Kotte.
Vijay Kumar Kotte: Thank you, John, and good morning, everyone. Today, more than 65 million individuals are enrolled in Medicare, and nearly half participate in Medicare Advantage. Each year, beneficiaries are challenged to decide how to access their coverage. They face an overwhelming number of plan options and annually need to sift through changes to benefits, networks, and formularies. Our role is to simplify that decision. GoHealth's platform is built for more than 30 million shopping experiences, giving our agents a data-driven view of which plans best align with each beneficiary's eligibility, doctor's prescriptions, and personalized needs. The foundation of our model remains the same: match beneficiaries to the coverage that serves them best, whether that means enrolling in a new plan or confirming their current one continues to be the right fit. Turning to the current Medicare Advantage landscape, demand for Medicare Advantage remains strong, and we believe the role of a trusted broker is more important than ever. However, the shape of growth this year has been different. Based on our analysis, health plans are prioritizing retention, stable member profiles, and unit economics rather than broad expansion. Health plans tightened plan economics, reduced prefunded marketing, and adjusted broker compensation. In some cases, the most consumer-preferred plans were made noncommissionable or were suppressed, and some health plans eliminated or consolidated low-margin plans entirely. The decision to scale back our MA volume earlier this year began when we saw health plans tightening commissions, eligibility, and benefit structures. So we pulled back intentionally. As we disclosed with our Q2 results, we made a deliberate decision in the second quarter to scale back our Medicare Advantage activity in response to tightening health plan economics. We shifted our capacity into GoHealthProtect during SEP and prioritized retention and stable member profiles rather than pursuing volume. Unit economics did not justify incremental volume. What I can tell you based on my personal experience building and running Medicare Advantage health plans is that none of the actions that health plans are taking now are irrational. Frankly, I believe they are very justified and prudent. We believe that health plans are making good decisions and have been clear about what they want and what they do not want. We have been here before. The industry experienced similar pressures previously. We learned from those cycles, and we used those lessons this year to move early. Rather than chasing volume and declining economics, we focused on three key priorities: one, quality over quantity; two, retention over short-term submissions; and three, cash preservation and strategic flexibility. We retained our highest quality agents, shifted marketing toward retention, and adjusted compensation to reinforce objective guidance, including confirming the consumer's existing plan when appropriate. We have significantly reduced overhead while continuing to invest in AI and automation that improve agent effectiveness, consumer experience, and member retention. We are confident that this will keep our platform efficient today and maintain our strategic optionality moving forward. These decisions preserve the capabilities that matter to us: our member book, our retention and engagement model, our leadership in special needs plans, and our efficient platform. We have continued support from our lenders and have enhanced our governance structure to support this strategy. Last quarter, we obtained a new senior secured super-priority term loan facility, including new capital and covenant relief, and we refreshed our board with new directors aligned with long-term value creation. We believe these actions provide the capacity to operate, invest, and evaluate strategic opportunities, including consolidation in a fragmented broker landscape. Health plans have been very clear about what they want today: retention over new growth, quality over quantity, and focused growth on special needs plans. We are aligning our strategy accordingly. We are protecting the parts of the business that matter to us the most. First, our leadership position in special needs plans, where health plans are increasingly reallocating resources. Total available non-special needs plan products declined for 2026, while special needs plan options increased. This reflects a clear industry priority: targeted growth, value, and continuity of care are highest. Second, our high-quality member book that supports payment quality. And third, our retention and engagement model. The broker landscape remains fragmented, and we believe the current environment supports consolidation. With a stronger balance sheet, lender support, and a refreshed board, we believe that we are positioned to lead integration where it creates value, reducing duplicative costs, improving back book cash flow, stabilizing membership retention, and enhancing the consumer experience. We look forward to continuing to provide you with updates as we progress down this path. Here are the messages I want to make sure are clear. First, our pullback is intentional. We prioritize long-term value creation rather than near-term enrollment volume. Medicare is complex, and choice can be overwhelming. Our role is not simply to move members into new plans; it's to help them understand whether their current plan is still the right fit. That balance between guidance and stability has always been core to how GoHealth serves consumers. Second, we preserve the capabilities that matter to us the most, including our technology platform, our retention and engagement model, our high-quality member base, and our leadership in special needs plans. Third, we believe the industry should consolidate. As others face capital constraints, we are confident that GoHealth is positioned to lead, to integrate, to expand when the environment stabilizes. Let me leave you with one thought. If our interpretation of the market proves early or overly cautious, we believe we have preserved flexibility through the protection of the member base, the platform, and the balance sheet. Alternatively, if we had chased projected volume in deteriorating economics, and that assessment was wrong, the downside would have been significant and lasting. We chose the disciplined path. We also remain optimistic. Medicare Advantage is a durable and important part of the US healthcare system, and we expect the market to rationalize as benefit designs, STAR's performance, and cost structures stabilize. Because we read the market and reacted early, maintained our core capabilities, strengthened our balance sheet, and aligned with health plan priorities, we believe GoHealth is positioned to return to revenue growth consistent with prior years when the market rationalizes, but with a meaningfully stronger margin and cash profile. With that, we will open the line for questions. On your telephone, and wait for your name to be announced. To withdraw your question, please press 11 again. In the interest of time, we ask that you please limit yourself to one question and one follow-up. You may then rejoin the queue. Please standby while we compile the Q&A roster. Our first question comes from Robert Miles McGuire with Granite Research. Your line is open.
Robert Miles McGuire: Good morning and thank you for taking my question. So we've seen slowing and even contraction in parts of the Medicare Advantage market this year. Vijay, can you just give us an idea of your view of the Medicare Advantage growth trajectory over the next twelve to twenty-four months and what catalysts could reaccelerate that growth and what capabilities and investments best position GoHealth as the market stabilizes with retention and value-based plans?
Vijay Kumar Kotte: No, Rob. Good morning. Good to hear your voice. Thanks for asking the question. This is an interesting topic. The market is one that has been dynamic for a lot of reasons, as you know. The health plans have been a driving force in that, alongside what the government has been looking at and how they can monitor and manage the program at the same time. As we think about the future, the propensity for membership to be stable and or grow again is going to be dependent upon the health plan's ability to rationalize their cost structure, to really double down on their star scores, and to be able to get appropriate rate adjustments from the federal government to be able to invest in those products. So, yes, I think the CMS numbers are a projection of a decrease in market penetration of Medicare Advantage versus prior years. That is probably, in my mind, more of a short-term item. As the product gets reset, and confidence is rebuilt in those products. That's why we feel it's prudent to have taken the action we did because there is uncertainty as to the stability of the new products that I think are out there this year. As we wait, with anticipation, instead of how the health plans will perform under those products. This is also an interesting period where it's not just is the product good today. As you know, in our business, it's about cash flow, cash generation. We book our revenue on an LTV basis, but there's a presumption in those as you invest cash at time zero, that relies upon a year one renewal. And so understanding which products will be stable for multiple years is really critical. And so we do look forward to an opportunity where over the next twelve to twenty-four months, health plans will have stabilized that cost structure so that they can rightsize or rationalize those products, which, again, is consistent with all the verbiage they put out there. But we do believe Medicare Advantage is here to stay. We think this is a very strategic and valuable tool to consumers who matter the most. This is important for their fixed income to be able to manage their total cost. So a long way to say, over twelve to twenty-four months, we do believe that the health plans, according to their own projections, will have stabilized their cost structures, will be refocused in which geographies and which products make the most sense to them. And then we will be able to align with those needs as we have historically. The last point I will say is that there's been no doubt the majority of the health plans have doubled down on their interest in special needs plans. And we have maintained that capability while we continue to invest in our technology to support those focused needs. As we've been a leader in that space for years.
Robert Miles McGuire: Okay. I appreciate that. Thanks. And just to follow-up on growth PROTECT, it looked like continued to grow in the third quarter. Can you give us a deeper discussion on the key drivers of that growth? And you're balancing your focus on Protect during AEP? You know, with a more retention-oriented MA posture? And then lastly, how we should think about Protect's 2026 revenue contributions and which quarters could grow or strongest throughout the year?
Vijay Kumar Kotte: No. I'm glad you brought it up. GoHealthProtect has been instrumental in the way we think about continued retention of our business. The more we can bring products that can enhance the peace of mind of our consumers, those that we have served in the past who are existing GoHealth customers, as well as new consumers who didn't even know these products were available. And we were able to test these at scale as we talked about on our Q2 call, really moving most of our floor towards focusing on and to deploy it. Learning how to serve the population with this new product set, in an efficient manner. We've got great partners on the other side of the carriers who support these products. And the strategy had always been to have a portfolio of products that align with how we want to serve consumers both existing and new, while being able to oscillate big based upon the seasonality, the natural seasonality that exists in the Medicare Advantage space. And the GoHealthProtect product set actually is very complementary, meaning the peaks and valleys are offset. So when Medicare Advantage is more peaked, it's actually the lower period of time for the GoHealthProtect or Guaranteed Acceptance products. So as we go through the next year, now we understand the seasonality of both very well. We believe they're very complementary. We will go into 2026 with that same approach. And you know, obviously, in the current AEP, focusing a little bit more on MA during the peak closing part of the AEP period where we're doing mostly MA. And then coming right back into the guaranteed acceptance space. And then oscillating a little bit as we read and react to the marketplace in OEP and beyond. But you should not be surprised that as we think about the MA marketplace, it only really changes when benefit plan cycles change. So now we know the new portfolio of products available on the market for the 2026 plan year. What is is what health plans want to do with those. Will they suppress more? Will they change their compensation for all the products that are out there? So we're going to be very tentative on that as we watch and learn from what we saw last year where there were suppression midstream, there were commission changes midstream, and there were continued changes all the way through OEP and going into SEP. So we want to be very thoughtful, and we're prepared for those changes as they might come through. But we are going to make sure that GoHealthProtect is augmented in there and can be more primed during the SEP and OEP period that you might have otherwise assumed.
Robert Miles McGuire: Thank you.
Operator: Our next question comes from Patrick Joseph McCann with Noble Capital Markets. Your line is open.
Patrick Joseph McCann: Hey, thanks for taking my questions. Yeah. First, if you wouldn't mind, I know you've spoken about it already a little bit, but if you could talk a little bit about some of the more detailed reasons why you decided to pull back on the MA side of things. And then, I guess, if you could look at it from two different perspectives. On the one hand, what are the implications for you if you read the market correctly, but on the other hand, what would the consequences be if your assessment ultimately proves to be incorrect?
Vijay Kumar Kotte: Oh, good morning, Pat. Good to hear you. So, look, this is actually a fairly simple answer. We listen to what people were saying. We serve two primary constituents. We serve our consumer, the Medicare beneficiaries, who seek our services to help identify the best plan options for them. And we serve the health plan to be able to engage that population and either enroll or retain or service that consumer base. And both parties have communicated to us that this is the market where we need to pull back on new enrollment and focus on stability. The health plans have explicitly said they value retention, and they're going to do everything they can to drive higher retention to grow their membership as opposed to get aggregate new members. They're trying to balance that, but they have indicated they would trade new members for a retained member nearly every time. So we listen to that. The second piece is we looked at the product landscape. We understand that a number of the products that are some of the best in certain are ones that are not even commissionable. And many of the products that we've written are still stable. They are the best products for the consumers that we saw last year. So when we look at that fact base, and we hear what people are looking for, consumers want stability and peace of mind. Health plans want retention over new enrollment. And they're putting their money where their mouth is. And the consumer relationship to us is a long-term play. So when we assess all that, we said the best use of our capital is not to confuse the market. It is to focus on the consumers who relied on us in the past. To drive retention when there's noise to try to probably take some of those members we've served and put in the right plan before to distract them and confuse them into some other product that may be commissionable by another broker. And to make sure our base is stable and knows they're in the right spot. And we feel confident the majority of our membership that we wrote is. And as we proved a couple of years ago, when we launched the plan fit save program, we built a reputation with our consumers that we were going to tell them what was the right thing was for them regardless of whether we got paid for it. And we've done that in a very concerted way on our current membership base as opposed to burning cash in the general marketing trend and having a lot of consumers come in that we're ultimately going to tell them to do nothing. And we believe that should be the most consistent message delivered this year by anybody speaking to a consumer. And so as we think about that dynamic, you could say, well, hey. There's a lot of messages out there today. How do you know you're right? We don't know for a fact that we're right. But our data says that we're directionally correct. The question is, to the extent we're correct, and what are the places that we're wrong? And I would say we as a leadership team, assess it from what are the risks here. The downside of our approach is that we might have not grown as much as we could have. We might have left an opportunity on the table. But we have retained all of our assets or our capabilities. We've maintained a cash position that gives us strength to move forward. We've retained and continue to invest in our technology to be able to scale back when we're ready. So we might be just a little bit behind if we're wrong. But if we're right, and if we're more right than wrong, then that means if we hadn't made this decision, and we had continued to go into the market like, might have otherwise gone because of the attractiveness of the disruption in the marketplace. Then that would have likely burned a lot of upfront cash that would not have been returned, let alone in the first part of next year. But even within a renewal cycle because there's going to be a lower probability of those room to host. And as you know better than anyone, Pat, this industry, you need that first renewal to do a cash on cash return on traditional agency-based business. So in history, Pat, we have always relied on looking at agency, nonagency. When we could do that, when we didn't think products predictable. This year, we didn't have that option because of the health plans lack of interest in new business. And thus, we think if we are would have gone down the path of trying to lead towards growth, in the traditional manner we would have had a lasting result, which would not have been good. And burning cash without an expectation to get a return on it is not the right way to survive the long game in the Medicare Advantage business. So those are the ways we looked at it. Those are the factors we assessed. And that's how we think about it. If we're wrong, we've just got to reramp and get going. But if we're right, the worst thing we could have done was to deploy a bunch of capital in this market.
Patrick Joseph McCann: I appreciate that, Vijay. And then and finally, could you talk a little bit about why you think the industry should consolidate and what specifically positions GoHealth to be a leader in that consolidation?
Vijay Kumar Kotte: I think there's been development of specialization within the broker space. But there is some unnecessary duplication of cost. We do know that we all serve consumers the same way. And have different approaches to the way we do it. The consumers are seeking the same thing from everybody. And when you think about the way to efficiently invest cash and capital to serve the most consumers you can, without causing extra noise in the market, we believe that large volume of brokers in the industry, a lot of different constituents marketing at a significant level, introduces additional churn by their natural existence. We do believe there's duplicative expense on the fixed cost side, duplicative investments in enhancements in technology and other type capabilities. That if you were to be able to combine, you could take the power of a strong consumer base in your back books deployed against leaner, more built-for-purpose administrative costs, that can allow self-investment of cash. You generate enough cash to drive your growth. Less dependence on cash and compensation models with health plans, it gives you a lot of independence and capabilities. So the market has grown to a point and you found natural leaders who do it the right way. And we believe that natural leaders with different expertise coming together get scale leverage, and that's why we think this is a prime time to do just that. And we're actively assessing the market for those types of endeavors.
Patrick Joseph McCann: Thank you.
Operator: Our next question comes from Ben Hendrix with RBC Capital Markets. Your line is open.
Ben Hendrix: Hey. Thanks, guys, for taking the question. You know, we've heard from carriers this quarter with Humana setting forth the most direct messaging about slowing new sales, you know, to protect the economics of their existing members and also, in some cases, suspending broker relationships ahead of AEP. We just wanted to get an idea of how pervasive that kind of mentality is across your carrier base. You know, the degree to which you're seeing that in other carriers. And then if Humana is kind of the more you know, just what that weighting looks like in your book in terms of the importance to your Encompass platform and, you know, and other business. Thanks.
Vijay Kumar Kotte: Thanks, Ben. Appreciate the question. This is one where I think, you know, you refer to Humana specifically. But what I would tell you is most of the major health plans have learned the lesson. Right, which is going back to '21, AEP, '22. I said in my prepared remarks that we've seen this story before. Any type of outsized growth either intentional or unintentional, has not been a good move or outcome for the health plan who won that disproportionate growth and share. Why? Well, the health plan has been very specific about the challenges in profitability. But in addition, they've also highlighted the headwind it puts on your star scores. And each of the major health plans has been in that spot over the last three to five years. Where they won more than they thought, it had significant profitability challenges. That onboarding challenge leads to Starz challenges off the bat. That for them to onboard all that membership in Q1. And then hits you on the medical cost side. Especially in the v twenty-eight world. So all of that said, the health plans are trying to be very thoughtful of they'd rather grow slower or less than plan and then be able to try to tweak it up. Than to be in a position where they need to pull it back. And I will tell you that is exactly what the health plans are trying to do. Nobody wants broad-based growth. Everybody wants even more than we've ever seen. Very specific targeted growth, very specific limits on it, but nearly every one of them. Had maintained that they want us to focus on stability, consistency, and retention. And that's exactly what we've done. So I think that's what's been happening in the market. That's what the health plans are doing. And that's how we're serving them because nobody wants to be that big winner that yields a big headwind for them in the first quarter of next year.
Ben Hendrix: That makes sense. And also, I appreciate your commentary about maintaining flexibility while also significantly reducing kind of costs related to workforce. Wanted just to talk to you about kind of mechanics of a re-ramp. Like, when you when we need to get back into this, you know, into a kind of a full sales mode, kinda what you know, what are the hurdles and the mechanics of getting re-ramped back to full capacity in the future?
Vijay Kumar Kotte: No. It's a great question. Obviously, we had to make sure we scrutinize that to maintain all the capabilities that enable that. We've invested, as we've talked about over the last almost three years, in enhancing our technology to do one thing. When I started here, one of the biggest cash burns was the cost of ramping agents during SEP in advance of AEP. Right? Because ramp is always generally a challenge in any dynamic and positive marketing environment. Ramp has been a challenge. And so what did we do? We focused our efforts to standardize our technology and tool. To really leverage how do you tie in your learning and development function to train and bring on agents faster. To deploy them with high quality, to do it in the shortest time possible. When we first started here, it took up to sixteen weeks to get an agent up to ready to sell as we would call it. And have the right training. As you saw last year, we brought on the TeleQuote team. We did that within two weeks and got them to double their production. And that is what our tool can do. So we're maintaining that capacity. Maintaining that capability, continuing to invest in the AI and automation tools, that standardize the process. That's the key to RAM. Standardize the experience so that a new person who's licensed can easily flow in and let the technology do their work and let the agent do what they're supposed to do on the call. Answer nuanced questions and give peace of mind. They can't they're not there to decipher the 3,000 plan. That's what the tech does. So when we think about identifying that market opportunity where the health plans are starting to lean back into it, they tend to give you a little bit of line of sight into that, and then we begin to ramp. And there are plenty of agents out there. When we've needed them, we can go out and get it. Right now, I think a lot of people are available if you wanted to start a ramp tomorrow. Not saying that's what we're doing, but I will tell you that when you want to, we'll be able to find those agents, we'll be able to put them through our platform and bring them on and ready to sell faster than anything we've seen in the market thus far.
Ben Hendrix: Thank you.
Operator: Our next question comes from James Philip Sidoti with Sidoti and Co. Your line is open.
James Philip Sidoti: Hi, good morning. Thanks for taking the question. So I'm trying to figure out how you navigate the next twelve to twenty-four months until enrollment starts to ramp again. You know, where is your cash balance today? And where do you think the what do you think the cash burn will be over the next few quarters?
Vijay Kumar Kotte: Yeah. Let's just start. I mean, I think you'll see in our filing approximately $32 million of cash at the end of the third quarter. And, you know, you've also seen we do have access to the continued draws for the new money that we brought in as part of the super-priority lender deal that we entered into at the end of last quarter. But this is really about making sure that you have a plan. Like I said, this is about cash management. This is about making sure deploying cash in an efficient way that is going to give you the best return on cash on cash return on that. And so when we think about our pro forma, we've got our plans in place to enable us to have sufficient liquidity to run and operate our business to maintain compliance with our covenants, etcetera. But give us the flexibility to come back when we're ready. When the market's ready, for us to do that. We're going to be very thoughtful about how we time it. And as we said in the previous response to Ben's question, it's critically important to have the continued investment in technology. We're not stopping our investments in our capabilities. We're going to enhance them. So we're going to be very thoughtful on how we deploy our cash against it. To ensure that we are going to be even more ready. You can have even a shorter time be re-ramped. That's the key. Is being able to turn it up and turn it off. Quickly and effectively. And that capability is what we've, I think, proven to do well. We're going to continue to develop. And that enables us to have confidence that our current plans allow us the liquidity and the capital structure to be able to still be a leader in serving consumers in this space.
James Philip Sidoti: And how much capital is available to you from that super-priority facility?
Vijay Kumar Kotte: As you may recall, it was $40 million of new money that had multiple opportunities for draw throughout the third quarter here at different trigger points. Based upon time, date triggers. So the short answer is $40 million of new capital since we entered. We have accessible we entered into that agreement.
James Philip Sidoti: So, you know, between the cash you have on hand, the additional cash, you know, do you think that's enough and why? Do you think that's enough?
Vijay Kumar Kotte: I mean, if we wanted obviously, we think it's enough. Because we think it maintains our capabilities or stability and still allows us to make investments. It also allows us to continue to pursue the consolidation of the industry, which we think is critical. We think that is a major unlock in the space too. But more importantly, how are we able to do it? We're able to do it because we're doing what we do now. We're reading the market, and we're not trying to hope there's going to be a cash on cash return. We want high confidence, risk-adjusted cash on cash return. And I can't stress that enough. The math isn't just six zero six revenue or LTV to CAC. I need year one cash on cash versus a CAC. And so when we start to see that open up, that's when we'll do it. So that rigor, that discipline, around how we deploy the cash is going to lean conservative. That lean is going to enable us optionality. We're always going to leave some business on the table and not try to shoot to the maximum possible. That's being disciplined and thoughtful. This team, my team, which I'm very proud of all the hard work they've done, not easy to make the moves we have. Gives me the confidence that we can continue to be nimble as the market shifts.
James Philip Sidoti: Thank you.
Operator: As a reminder, to ask a question, please press 11 on your telephone. Again, that is 11 to ask a question. Our next question comes from David Joseph Storms with Stonegate. Your line is open.
David Joseph Storms: Good morning and thank you for taking my questions. I just want to start. There's been a lot of emphasis on retention as a core part of the model for this year. Can you maybe walk through some of the logistics, some of the stuff that you're seeing on the ground to support this retention, thinking between conversation structure, any post-enrollment engagement, support, stuff like that? And then maybe any early indications of success from some of the more recent cohorts that you're applying this to?
Vijay Kumar Kotte: No. Thank you, Dave. It's an excellent question. It's so important to not just use words. Everybody's saying retention. The question is, what are you doing to put your money where your mouth is on retention? So, yes, we have not done broad-based. You can go assess. You can see an AEP. We're not doing broad-based marketing to the general population. What we're doing is we're having focused service follow-ups with our consumers that we've had in our back book and continue to serve. We want to make sure that we're focusing our agents and not distracting them. So those of you who have ever been in these types of businesses, you'll realize when an agent is on the phone and he has an option to make a follow-up phone call, or and he's seeing a queue of leads coming in, what does that generate? That means you lean towards the new sale typically when you have those leads in, you see the queue. What we've done is we shut that queue off. The queue is only for existing consumers to make sure we're focusing on service them as AEP begins. And that's a really important part of our strategy. Start there. Don't distract. Well, how are you going to make sure that your agents are really going to do a quality job there? You can put quality metrics. You can put KPIs in place. But you've got to change their compensation model. And that's exactly what we did. We did this years ago. We started the Plan Fit Save model. And we've doubled down on that program now. This is not just for interactions that you have on the phone. This is with our new members with Plan Fit Save was taking leads out of the marketplace, and we put them in, and we them through to. When we're doing it now, we're saying we're giving you a special compensation for servicing the back book. Most brokerages out there aren't paying their agents incremental commissions. And or variable compensation. To support individual members. And that is what we've done. So we've done a concerted marketing effort. Complemented by training, technology, which is enhanced to deliver service in comparison of your current plan, and then doubling down on that by putting your compensation model to reward the right behavior. And discourage bad behavior. And so we've done all those. And the early indications and the first few weeks by some of our carriers has already been our retention rate is better than the field. And that's well ahead of where we were in previous years. And so I will tell you that we are very excited about it. We're very proud of our agents. We've retained the best agent. The highest quality who serve the most consumers of this back book. To be able to do just this. And each one of those tactics so we can always be better, is performing better than we had expected.
David Joseph Storms: That's very helpful. Thank you. One more follow-up for me. There's been a lot of focus, and I think we've all noticed this. You know, the focus on the shift into special needs plans. How do you feel about your strategic positioning there? You know, maybe what differentiates GoHealth's ability to serve these SNP members effectively? Any training, positioning, anything you're doing to maybe be ready for that shift there would be very helpful. Thank you.
Vijay Kumar Kotte: No. Thanks, Dave. The special needs population is one that is actually very near and dear to my heart. I've been building dual special needs plans for nearly twenty years. I mean, it's been a long haul here, and that's a population that has a very unique set of needs and questions. And for the average broker, it is hard. And it's a complicated conversation. It doesn't give the average broker a confidence that they're going to have a consumer enroll and stay on that product. And so what we've done is we've taken that friction with agents out. How do we do that? We use our proprietary technology. The PLANFit tool helps guide not only a through the shopping process, but an agent through the shopping process. To help support integrations with datasets to verify eligibility, to pull in data to give you, you know, potential eligibility on chronic. Special needs plans as well. And then to give the agent confidence that when that is the highest ranked product, meaning a dual special needs plan or a chronic special needs plan, it's the highest ranked product according to our proprietary tools to facilitate enrolling the consumer in that and helping the agent ask real-time questions via our Plan GPT platform. That helps them get very nuanced answers to the specific questions of special needs population. That requires great technology, as we've described, extensive training, and a lot of experience answering the what-ifs for this population. So when we have a lead come in, that's presumptively likely eligible for a special needs plan, our technology is automatically routing that lead to an agent who has in that geography and with those types of special needs plan. It's not random. It's not first in line. It's not a FIFO type approach. What it is is a very thoughtful, AI logic-driven rating and matching system. That ensures that a very special consumer is getting a trained and knowledgeable agent can help facilitate that. Because of all this complexity, that is why health plans are compensated in a different way. This is why health plans are able to drive different margin profiles. With that population. It's an important but complicated population who requires incremental investment to be made in infrastructure to support. We have that infrastructure. We have a differentially delivered in this space, and that is why it's a strategic alignment with what health plans want. So, hopefully, that was responsive, and I know probably a little bit long-winded, but I'm really proud of this technology and what we're able to do to serve this population.
David Joseph Storms: Thank you.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Vijay Kumar Kotte, CEO, for closing remarks.
Vijay Kumar Kotte: Thank you, Daniel. This is a dynamic marketplace. It has been. The key as we look at it is to ensure that we are taking all the information we're exposed to and really sticking true to one clear statement. Most people tell you what you want. So what they want, what they what you need to do is hear it. And we have heard it. We've listened to it. Seen it. We've anticipated it, and we've taken the deliberate and disciplined actions to react to it to enable ourselves to serve everybody the way they want to be served. Consumers want peace of mind. Health plans want stability and retention. They don't want us just risking the market with a bunch of marketing. They didn't invest. They didn't prefund. They didn't provide MDF the same way they historically did. They want to invest in reinforced retention. That's what the health plans have actually done. They put more incentives in retentions and renewals. And we have been nimble to be able to deliver on those capabilities to support exactly those things. Peace of mind, stability, retention. And I'd be remiss if I didn't thank our team who has been so nimble with us and so showed so much integrity, versatility, resilience to be able to trust what we're doing to understand our goal is to serve, and to pass the temptation of short-term opportunity while we think about long-term cash on cash viability and strategic opportunity. So with that, we will close, and I really do appreciate everybody's participation this morning.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.